Richard Davis: Thank you, and welcome, everyone, to Unity's financial results webcast. Today, we'll be highlighting our results for the fourth quarter and for the full fiscal year of 2020. With me on the call today is John Riccitiello, President, Chief Executive Officer and Executive Chairman; and Kim Jabal, Senior Vice President and Chief Financial Officer.  Now one of our goals on this call is to help investors understand our business model, and we're going to try to do this in an efficient manner. So after the close, we published a shareholder letter with financial commentary and guidance. And on this call, we will begin with brief remarks from John. Then we will answer questions that we collected and consolidated from analysts investors -- and investors. And finally, time permitting, we'll have the last 10 minutes or so for panelists to ask additional questions.  So let's go on to the safe harbor statement. And I'd like to remind participants that during this conference call, we will be making forward-looking statements, including our financial outlook for the first quarter and full year of fiscal 2021 as well as statements about goals, business outlook, expectations for future financial performance and similar items, all of which are subject to risks, uncertainties and assumptions. Now you can find more information about these risks and uncertainties in the Risk Factors section of our filings with the SEC at sec.gov. And we remind everyone that our actual results may differ, and we undertake no obligation to revise or update any forward-looking statements.  We will also be discussing non-GAAP financial measures today. Reconciliations between our GAAP and non-GAAP financial results and discussion of limitations of our non-GAAP financial measures can be found in our earnings press release.  With that, let me turn it over to John for some introductory remarks.
John Riccitiello: Thank you, Richard, and thanks for joining us today and for your ongoing support. Today, we're happy to share our fourth quarter and full year 2020 results. I hope you've had the chance to read our shareholder letter, where we provided highlights for the quarter and the year as well as our 2021 guidance.  Now we hope that you and your family and friends are safe and healthy in these challenging times. Our team at Unity, more than 4,000 strong, extends these well wishes to our customers, partners and the end users of the products built with Unity and operated by Unity.  Now we believe we're in the early phases of a once-in-a-generation technology transition, in this case, a world in which the majority of digital content is 2-dimensional and moving to real-time 3D. Those of you who have followed history of technology understand that revolutions don't happen organically. You need change agents. For real-time 3D, we're seeing a virtuous cycle of software and hardware innovation change agents. For example, faster GPUs, 5G bandwidth, 4K displays, and new XR devices are making real-time 3D from any endpoint a reality.  At Unity, our software development platform and services is the change that lets creators build engaging real-time 3D applications and environments. And we're privileged to lead in this new world and are investing to realize the massive opportunity we see in our future.  We just reported a strong Q4 with revenues of $220 million, up 39% the prior year, and 2020 revs of $772 million, up 43% versus 2019. These strong results were a result of a combination of strong execution and the great work of our team delivering innovation across the board for our customers. And we also recognize that we benefited from some COVID-related tailwinds and estimate this contributed a net of around $25 million to our total revenues in 2020.  In our shareholder letter, we included some statistics which speak to the growth of our ecosystem, including Unity's market share among the top 1,000 games, the number of monthly downloads of apps built with Unity and the number of monthly active users that engage with content built with or operated by Unity. All of these metrics hit record levels with our market share of the top 1,000 in 58 countries reaching 71%. Download averaged 5 billion times per month in Q4, and MAUs reached an average of 2.7 billion per month in Q4 2020.  These record results don't directly translate to revenue in many cases, but they are indicative of the strength of our franchise and the ecosystem we support. We're thankful that our amazing customers are realizing great success in the marketplace.  Now at Unity, good metrics and outcomes come from one source: innovation. At Unity, we expand the boundaries of innovation. In 2020, we delivered hundreds of improvements to our core create platform, and our operate team helps studios optimize for lifetime customer value with new services like game growth.  We upgraded and introduced applications for our customers beyond gaming. For example, in December, we highlighted Volkswagen's innovative use of our vertical application, Forma, to build an engaging virtual e-commerce showroom. We're laying the foundation for a future in which most of the world's content will, in time, be real-time 3D.  Today, we're also providing our guidance for 2021. We're projecting revenues of $950 million to $970 million for the year. This guidance takes into account multiple factors. I'd like to reference 3: one, underlying revenue growth of 30% plus, which is our long-term goal; two, the recognition that 2020 had somewhat elevated revenue due to COVID tailwinds; and three, the recognition that we estimate a onetime hit in 2021, approximately $30 million to revenues or just over 3% as advertisers become accustomed to the new IDFA approach being implemented by Apple.  We look forward to a strong 2021, knowing that none of this would be possible without the incredible -- dedicated and innovative employees at Unity. It's an honor for me to be part of this world-class team.  And with that, I will turn this over to the operator, and Kim and Richard, and we will take questions.
Richard Davis: Great. Thanks very much.
A - Richard Davis: Well, why don't we start with a question on IDFA. Kim, do you want to get us started on that one? And the question was, just so you know, because what we did is collected all these questions, specifically, what -- do we have any update on the expected timing around IDFA, iOS 14 changes? And if you change, what impact do we see on our business? And is that factored into our guidance?
Kimberly Jabal: Great. Thank you for joining us today. With respect to IDFA, this is a question, I think, we got by all of you -- got from all of you. The changes related to IDFA are going to require that our customers recalibrate much of what they're doing related to their acquisition, their monetization and their marketing strategies. And we've been working really closely with customers to help them do this.  And I would say that we've been preparing for this for a long time. We are leveraging our learnings from GDPR, from our contextual advertising product, which does not rely on IDFA. And we're working hard to mitigate the risk, both to Unity and to our customers.  So as John mentioned in our earnings release, we estimate that the IDFA changes will impact our revenue by about $30 million this year, assuming a rollout in the spring. And this estimate is not a perfect science, but we have very detailed models that help us forecast the impact here. We leverage country-by-country data, including impression levels for iOS versus Android. We look at current and historic opt-out rates, the adoption rates of our contextual ad products and our experience with GDPR.  So we feel pretty confident in our estimates here.
John Riccitiello: I'd like to add a little perspective because I know this is a really important question in the mind of many investors. When we do a forecast, we're very analytical at Unity. For example, when we're trying to estimate revenue for, say, create seats, we'll look at a customer level, an individual publisher. We'll look at how many teams are using our product, how many people on each team, the job classification for each person on the team that might or might not use Unity, individual features that help us understand what the uptake rate can be across those classification of users on a by-team basis. And it's on that basis that we formulate an aggregated forecast of the business. It's not entirely science, but it's really close.  We're even better at that when it comes to the monetization and services side because we have a lot more data. In this case, I just wanted to give you a couple of highlights, just to let you know. We did build our model up in a very detailed way. We have a handle on this. Point to start with in the beginning of the model is only about 30% of our impressions are from iOS. In many of these, a significant portion have already opted out for limited ad tracking. So we take data like that. We take information, extreme detail on our experience with opt-outs when people are presented with new user flows for a game or other application, and we build it up step by step. We have a good understanding.  Now we don't know if advertisers are going to respond with incremental advertising spend to drive installs. That's a possibility. We can't quite get every last nuance from this, nor can we understand precisely what our market share offset will be, but we feel confident that we're growing our advertising business with market share growth that's been going on for many years on the basis of strong data insights.  So net-net, it's an estimate, but we're not guessing. We've got a very detailed model in place, and we think we understand where we're going.
Richard Davis: Great. Thanks. So the second question is the thing that all of us had to deal with this year is about COVID, and about half the analysts ask this, but Bhavan Suri asked first, so he gets the shout-out.  So Kim, the question is, is how did COVID impact your 2020 results? And more importantly, how are you thinking about the impact kind of, of a normalized environment on gaming as COVID recedes? And then more broadly, what is the impact you see from COVID on your overall business, particularly beyond gaming?
Kimberly Jabal: Sure. So as you saw in our earnings release, we called out a net $25 million of upside to revenue because of COVID, alongside $40 million in net expense savings after some reinvestment. We see less of an impact in 2021 related to COVID.  On the revenue side, we're entering the year with lots of momentum across both gaming and new verticals. In gaming, we gained share in a market that experienced a trifecta of user engagement. We had new gamers entering the market. We had lapsed gamers coming back, and we had existing gamers playing a lot more often.  And so as a result, as John mentioned, as you saw in our release, our monthly active users who consumed content creator operated with Unity reached an average of 2.7 billion per month in Q4, and that's up 63% year-over-year.  And interestingly, new players we gained in 2020 had a 27% higher rate of in-app purchase versus existing users. So these are new valuable users that are coming into the ecosystem. And for 2021, our view is that this momentum in user engagement will continue even as the world hopefully starts returning to normal.  Historically, this is what we've seen in the gaming industry, which is growing faster and is now larger than the film and music industries combined. And we believe this is because a game is so much more interactive. You control the character. The next frame is something nobody's ever seen. And now with the increasing levels of network-based connectivity, you're also engaging with other players, with your friends. So we see a lot of momentum heading into 2021 in gaming.  In new verticals, our year started out slowly in 2020 as companies adjusted to working in a COVID environment, but we ended really strong and have great momentum heading into 2021.  In Q4, of our 793 customers with revenue over $100,000 a year, 13% of those were driving revenue for us outside of gaming. And this is up from 8% just a couple of quarters ago when we filed our S-1.  The other thing I would say on the expense side in 2021, we are assuming continued reductions in travel, facilities and marketing event spend, with some uptick by the end of the year. And we're generally, though, planning to reinvest those savings into headcount and initiatives that will drive revenue growth across R&D and sales and marketing.  The last thing I'll note, an interesting dynamic from COVID is that it made hiring a bit more back-end-loaded for some of our teams, and the start dates for many of our Q4 hires flowed over into 2021. So we have a stronger-than-usual start for the year on our hiring. Over 3/4 of our projected headcount growth for Q1 is tied to offers that were accepted last quarter. So we have a really strong running start, and this is reflected in our Q1 guidance for a sequential drop in operating margin.
Richard Davis: Great. Okay. Let's move on to kind of business highlights. So let's start with kind of create for verticals. The first question there is from Mario Lu at Barclays, and he asked, can you talk about Unity's Forma and what the opportunity set is for that product beyond kind of the virtual auto showrooms and into maybe e-commerce site brands beyond Volkswagen?
John Riccitiello: Sure. So for those of you who don't know, we created and launched Unity Forma towards the end of last year. And let me just describe what it is for those that may be not be as close to it.  When a creator works in Unity, they're working an enormously powerful tool. It's got pulled down menus that allow you to do content creation. There's hundreds of these pull-down menus within the editor. And it is -- for a professional developer, it's straightforward to use. For someone that's not familiar with real-time 3D content development, it is a chore, it can take a year or more to learn.  We create these run-time applications so we can bring all that power to a user that -- so they can get up anything they need with 4 or 5 buttons. Easy to use, easy to roll out, easy to get new customers up in the platform. The first of the tools we launched, it were like this was Reflect. We've seen really good traction with architecture and construction using that tool, and we talked about that on the last call.  Here, we're talking about Unity Forma. And up into this point, the state of the art for most virtual showrooms or e-commerce was a few JPEGs in a video. They're really nowhere near what they can be. And what Unity Forma does, it democratizes and enables business users to create engaging real-time 3D environments. We conceived Forma for the challenges associated with manufacturing customers and consumer brands that want to deliver interactive marketing content, including product configurators.  We've talked extensively about Volkswagen and what they're doing. Our first customers already include a luxury good manufacturer, a company in aeronautics and a leading hospitality chain. We've really got it going on verticals, and this is a way to really get people up on the Unity platform.  Just in the last months, we've added Newell Brands, Walgreens, Liberte Productions, SHOWstudio, Nick Knight. A lot of folks are coming on to our platform verticals to take advantage of tools like Forma, like Reflect, and there'll be more.
Richard Davis: Great. Okay. So staying on create for verticals. Brent Bracelin of Piper Sandler asked the following question. And I can take this one. It's -- and he said, in some markets, it makes sense to go it alone. In other markets, it's better to kind of work through channel partners or professional services companies. How are you thinking about your go-to-market strategy and other verticals like manufacturing?  So the response really is, first off, it's a good question. Look, we try to start at the top, which means that we target kind of the most innovative companies in the sector. And so what they become is kind of beacons and reference customers when we shift from kind of a land to expand model in a particular vertical.  And so our go-to-market motion depends on kind of where the customer is in terms of embedding real-time 3D into their business model. So that really means kind of 3 components: direct sales, engage our own in-house professional services or kind of work with VARs and channel partners.  So for example, on the direct front, we sell Reflect alongside Autodesk's AEC platform. With Esri, we are providing a joint go-to-market strategy with them, with geospatial and 3D technology to the Department of Defense. With Continental Elektrobit, our work is focused on kind of in-car entertainment systems.  But sometimes, customers need help standing up a project. So in that case, we either bring in our in-house specialists like Finger Foods, which we have as our internal group, or we tap a growing network of value-added resellers or managed delivery providers.  So let's go to the fifth question, back to John. So a couple of you had sent us questions about the recent hiring of Peter Moore. So maybe, John, you could talk about that new hire and any other announcements that we've made of late.
John Riccitiello: Sure. So we see the opportunity in front of us at Unity is massively significant. We think it's a once-in-a-generation opportunity, and we're once-in-a-generation company. And we've signaled many times that we're investing to realize this opportunity.  Now I'm really proud of the team at Unity. The team you saw in our S-1 and the IPO is, for the most part, the team that I brought on 5 and 6 years ago to take this company from the amazing start of the founders and a small team to what we are today.  Now part of my job is to make sure that the leadership team has all the capacity and capability to realize the opportunity in front of us. And so from time to time, I'm a bit like a football or soccer coach, I make changes to win championships. And that's part of my job here at Unity.  Now with Peter Moore, we see a significant opportunity in the arena of sports and live entertainment. We don't have specific announcements to make today. Many of you probably know, Peter is well storied in the industry, and he'll have some things to talk about in future calls.  I think it's also worth noting, we announced internally today, but not externally, that will come in a couple of weeks, that we've hired Marc Whitten from Amazon to lead our Create Solutions business. Marc is an incredible leader in the world of tech and entertainment. He leads a large GM team in Amazon now. He's also essentially the Founder of Xbox Live, there from the very beginning, both a large organization that realized everything that is Xbox Live. He brings a lot to Unity, and his leadership will add to our ability to grow and grow faster in the months and years to come.  So there is always something going on at Unity, but in this instance, what we're trying to do is map to make sure that the opportunity is met with the ability to realize it.
Richard Davis: Okay. So let's move on to create for gaming. John, you can take this one. So Ryan Gee at Bank of America Merrill Lynch asked, Cyberpunk 2077 was a high-profile launch that was unfortunately filled with bugs, but CD PROJEKT is far from the only studio that's faced this issue. So to what extent do you think this will be kind of a wake-up call, not just for AAA, but also pretty much everyone in the industry about whether or not to build bespoke game engines?
John Riccitiello: So this is my day-to-day life these days. Just as a background, I've been leading teams that build game engines going back to the 1997 and been involved in the creation of DOTS and game engines, including leading the organization at the time that we created Frostbite at Electronic Arts.  And I completely get the allure of creating new technology if you're a gaming company. But I think we've reached the point that it's probably a negative return on investment for most people to create their own technology.  It's expensive. It's challenging to get to a number of platforms. And at times, it gets in the way of what consumers really want, which is great content, well-polished, well-finished and bug-free.  So at Unity, we've built a game edge, and it gives developers all the tools they need to create gameplay that works: auto realistic visuals on any endpoint and a full suite of monetization, content delivery and hosting options through our operated services.  As you've watched this, our market share across all platforms has been rising dramatically in recent years and, again, recent quarters. I think more publishers and developers are coming to realize the power of Unity. I think that will continue. I think there's a lot of love for shelf-built engines. And I think over time, we'll see a few of them.
Richard Davis: Great. So going to note another one here for you, John. So Tom Roderick at Stifel asks, so on the create side, by our estimates, your addressable market, at least in terms of seat count for game artist, is approximately double that of gaming programmers. Could you update us on the progress you're making here with art engine? But more broadly on penetrating this market, what's the competitive set? Is this a replacement sale, add-on sale? And who makes the buying decision?
John Riccitiello: So for the most part, when we're closing new seats on chains, it's artists. And they come on to the platform in a pretty deliberate way. So the first thing we've been investing in is better workflows. So the Unity engine, the Unity editor is a lot more intuitive for [indiscernible]. And we've made great progress, but not much.  What I mean by intuitive is when years have gone by, an artist would go to their programmer and say, "Hey, I've created this amazing [indiscernible]. Can you import it into the game for me? Can you integrate it into the game? Can you help us build from these hard artifacts, the animation or other things?" In other words, Unity was too hard to use for them, as is any game engine. By enhancing the simplicity of the workflows, a lot of artists are able now to use Unity directly.  The second thing we do is we create specific tools that enables a developer, the artist developer, to create directly in Unity without the complexity of invoking the more nuanced parts of the editor. These are tools like the VFX Graph, Shader Graph, some of our environmental offering systems. You can work directly with the editor, but the complexity is removed. So here, what we're doing, and ArtEngine is among these, giving them enormously powerful tools that sit on top of Unity, they can get more with less complexity.  The last thing we're doing is we're working hard on specialized tools to really help an artist feel like they're chatting with us. Now ArtEngine is also part of this. But it's about allowing them to easily find, through the asset store or other services, assets that they can directly employ on the game without creating them from scratch and tools that they can use to transform those to be able to be directly used inside the game, so inside the application they're building.  So we have a, if you will, a 3-front assault on helping developers, particularly artists, feel much more productive and be much more productive. One is workflows, make it simpler, the core engine. Other is tools to advance them without the complexity of the editor to be able to do things in a productive way. And third is to bring assets directly to them, so they're not starting from scratch. So if it were a baseball metaphor, they're starting on third base. And that's the notion, and that's why we're seeing a lot of growth in create [indiscernible].
Richard Davis: Great. Thanks. All right. Well, let's pivot over to operate, just to operate for gaming. So John, Andrew Uerkwitz at Oppenheimer asked, one of the strengths of Unity is that you all have a lot of data that gives you differentiated insights into gamer behavior. You have a strong presence in the long tail of AA and single A developers. So the question is, is how do you see the evolution of your market from monetization and back-end services with AAA studios?
John Riccitiello: So there's two things. First off, if you go back 4 and 5 years, Unity really wasn't a good choice for AAA studios to use for content creation. That's no longer true. And so that's one of the reasons we've seen so much market share growth in AA and AAA. And we now support Xbox and Sony PlayStation on launch date, and well before that, launch titles.  So first, we had to have the basics in place to take the capability of in-mobile and then make it work just as well in AA and AAA. But one of the things to understand, AAA content is very engineering-centric, and there's a lot of engineers on the team. And with that comes a very justified mentality that I can build everything from scratch. I've seen developers that build their own ERP systems from scratch. And they do it because they're engineers. They always imagine they can do it better.  What Unity gives them is really 2 things: increasing flexibility to start with Unity, again, put you on third base on content creation; and just as well, we bring them advantages. On the monetization side, as an example, some of our customers might have data on 20 million MAUs or 30 million or 50 million or even 100 million if they're at significant scale. As you heard, we're at 2.7 billion. The data advantage is very sizable and very important. So we bring tools to them, so increasingly, they don't have to create from scratch. Every time what they need, they can use Unity. And in the service side, we bring scale, both on the data side and the infrastructure side, that they can leverage.  It's worth noting, some of the most important games as they moved into online mode postlaunch, they fell over. The products that were launched with Unity, Apex Legends and others, they had smooth scaling and successful launches on Unity's back-end.  So it's a great question. And our path really has been mobile to AA to AAA on create. Now we're just getting into AAA on create in a more successful way. And operate is usually the echo, what's right behind it, and we're coming up fast.
Richard Davis: Great. So we have a question on the recently announced Game Growth Program. I'll take that one. It's from Yao Chew and Brad Zelnick at Crédit Suisse. And the question is this, you announced Game Growth Program late last year. Can you talk about the origin of the concept? And what is your value proposition for indie developers?  So first off, look, this is a very early days for this program. But even so, we're very excited about the operate -- that the operate team kind of created this Game Growth Program. And the idea sprang, from our view, that great games often go unnoticed, especially in the indie segment.  So as you know, Unity has always been on the side of creators, and it just didn't seem fair that creators would have to choose between their entertainment vision and tactical execution to build audiences and make money. So think of Game Growth as a way to kind of bring to bear the best practices that we've seen succeed over the course of many years through the accumulation of literally petabytes of data from hundreds of thousands of applications and millions of tests run by our tools. So we think this is a win-win model for a select group of our customers because the Game Growth Program lets them focus on building great games, and we help them succeed on the monetization front with an enhanced revenue share model.  So let's go to the tenth question, and this is operate for verticals for John. So Brent Bracelin at Piper asked, how would you describe the opportunities to monetize nongaming verticals within the operate system? It seems that Multiplay has applicability outside of gaming. So first off, is that a correct assumption? And more broadly, at a high level, how would you think about the drivers for this part of your business?
John Riccitiello: So first off, I would say that I'm truly excited about the opportunities for operate outside of gaming. Starting point, though, is most nongaming applications you see today, whatever app you're using, they're not presently real-time 3D, and they're increasingly becoming real-time 3D. And what we've done with products like Forma and Reflect is we've lowered the bar to take your application into the 21st century. If it's architecture or construction, we've got Reflect. If it's many, many industries, but -- where you might get involved with a configurator real-time 3D website, that's Forma.  And in both cases, by way of example, we also simplified the process not only for creating a site, but supporting the site with our own Furioos service for delivering real-time content to these new applications that are out there. Once an application is real-time 3D, it's no longer static. It needs data, it needs streaming, it needs support. And that's where we come in. If it's Multiplay, we can host it. If it needs content updates and content on a streaming basis, that's Furioos. We see a lot of opportunity in e-commerce, which is an area we're starting to focus on increasingly now.  And again, if you're going to want to see a real-time 3D view of a dining table, customizing the wood or the hardware, those are the kinds of things you're going to need back-end support for. And with Unity, it's literally just a check box. You don't need to bring in an engineering team to make it work. It's because of circumstances like that and many more that we feel really good about the operate opportunity outside of gaming.
Richard Davis: Great. So let's pivot over to kind of R&D and kind of core technology, John. So Bhavan Suri at William Blair asked, a big part of your competitive strategy is a focus on R&D-led innovation. Could you talk about the -- what progress you made in 2020, where you're headed, particularly in regard to some projects that you've talked about in the past, such as NetCode and DOTS?
John Riccitiello: So NetCode and DOTS, for example, is super important innovations at Unity, but they take a different form, and let me address them separately. So NetCode, this is the code that a developer needs to bring multiple players in the same instance of the game. It's the networking code that brings people from an RPG and FPS, a sports game, into the same environment so that they're playing the same game, and everything's synchronized effectively.  Now what many people probably don't realize is what is important for a first-person shooter game is different than what actually might support an architect or an engineer at head office. You worry about 10 milliseconds of latency in an FPS. With an application like Reflect, you don't. It's -- 10 milliseconds wouldn't be noticed. And it also wouldn't be noticed at an RPG or a puzzle game.  What we notice in an RPG game is bandwidth. Can you get all that beautiful art, all those beautiful textures onto the screen fast enough? But it's really about a bandwidth issue and how it manages that. The point that I'm making is you need different types of NetCode or different specific executions depending on the application that you're supporting.  And we've already put some of our net -- new NetCode product in the market. We'll be adding a lot to it this year. 2021 is sort of our year of NetCode. And it is complex. And this is one of those situations where virtually every game makes it from scratch. And so it is a very difficult thing for developers to do, and we're going to make that go away. And this will enable them to be successful with multiplayer games. It will get around the issues of lag and cheating and other thing because that's what's built into our product that will enable them to scale more.  We also connect it directly to Multiplay, making it very easy for developers to use our operate service list. It's literally one continuous proposition inside the Unity editor. Now DOTS is a very different thing. DOTS is our data-oriented technology stack. It's a handful of technologies that has you as a developer thinking fundamentally different about how data is organized.  And let me be clear what I mean by data. Every character or the art behind them, every code set or script that supports animation, every environment, all the physics, all of that is content. And if you think about some of the larger AAA games or if you look at the content behind a car configurator, what we're talking about is the work of sometimes hundreds of people for a couple of years creating all that content.  So there's a lot of content out there. And traditionally, an object-oriented programming, it's bound by how much of that content can go through an individual core and an individual GPU. And to be honest with you, for high performance, it's a mess. And so by getting out of object-oriented and slicing everything in the thin slices of data, we can see 10 to 100x more performance for rich environments that have a lot of content, lots of interactive objects, lots of real-time 3D objects.  And it's our intent over the course of the next 2 to 3 years to continue to bleed into our core technology, sort of easy-to-use versions of DOTS where you can offload something to a DOTS system, so you can get all that performance without having to work for it. I think it's the future of the way most games will work in years to come, and it's certainly a massive horsepower addition to the Unity technology set.
Richard Davis: Right. So we got an M&A question from Andrew Uerkwitz at Oppenheimer. So you acquired RestAR in mid-December, but you also, in the past, have made a series of tuck-in acquisitions. And today, you have a bit of a cash war chest, but as we know, sellers also have high valuation expectations. Could you just talk at least at high level how you think about M&A as a means to accelerate go-to-market strategies and your technology road map?
John Riccitiello: Yes, sure. So as a starting point, going back from the beginning, we spent approximately $300 million in M&A. So it's not been a gigantic investment on our end. We've been acquiring companies mostly in an acquihire orientation to get capability that we think we want under the platform, and it's been mostly a build-versus-buy tuck-in orientation.  Now this idea of a war chest, I'm a believer that most M&A is a bad idea. And so we've got really high hurdles for clearing on strategic criteria, tactical criteria, execution, culture. It's all got to match. So the bigger the price, the more hurdles we're going to put in front of it. Obviously, I don't have anything specific to say. I wouldn't rule something out. But our notion is that M&A, to get us something that we can't get another way cheaper or more effectively.  I feel really good about what we've done so far when we do reviews for our Board on the M&A we've done so far. It's almost all worked and worked really well. I want to keep on that. But think of us as primarily organically oriented. But we look at things to take advantage of where we can go in the market.
Richard Davis: Great. And this is -- I don't know, in my opinion, the best written question we've got all -- through all of you guys sending us stuff. This is from Yao Chew and Brad Zelnick at Crédit Suisse. And so I had to read this word for word because it's too good not to. So John, you're pretty quotable as it relates to your comments on XR. I'm not sure which I like more, gap of disappointment or analysts are idiots. Being a former analyst, I like that line. Anyways -- but what are your latest thoughts here between the bear camp who says if COVID didn't bring XR to the forefront, nothing will, and the bull camp, which says this time is different. What's different today? What are the key moves in the landscape? And what are the platforms that you're watching?
John Riccitiello: So my first presentations on XR at Unity go back 5 years. At the time, products like Oculus were winning CES and other awards [indiscernible] the product to the show. And it was then that I was coming out at this gap of disappointment. What I was explaining is, in the market, a lot of the analysts were projecting this staggering growth, taking off really the next year or the year after that. And what I was explaining was that wasn't going to happen.  The gap of disappointment was I expected a much slower growth in the initial years. And the reason I felt that is successful consumer platforms need to meet a number of criteria. The hardware needs to work at starting point. It needs to be simple. If it's as challenging as programming a VCR back in the day, it's not the kind of thing that's going to yield mass adoption.  I can remember trying a number of these devices early on, and I'm pretty familiar with this space, and it would take me hours to set it up and sometimes hours to get it going the second time. And I'm running around with a cable in the back of my head. And that's not an easy thing to do. So I felt that it was wanting at that level. It's got to have a consumer price that works.  Probably more than anything, people need to remember that people don't buy hardware for hardware. They buy hardware for what you can do with it. The software that you can play in it. So there needs to be a vibrant and a rich ecosystem of content.  And for that to work, you also need to have developer economics that bring people onto the platform. So those are a handful, and there are other criteria. And I haven't seen the combination yet where it's all brought together.  Now Facebook has made really good progress with Quest 2. It's an impressive device. They've announced that more than 60 titles generated over $1 million revenue. But for people to develop content that's really going to be beautiful, $1 million doesn't cut it. It needs to be $100 million or multiple hundreds of millions. And that will happen, I'm highly confident.  Now think about this for a minute. I owned an early MP3 player, many of us did, well before the iPhone. That didn't make me think when I got that, that -- low-penetration products that were produced by a number of manufacturers, that music wasn't going to make it to my pocket someday. I was pretty sure it was going to make it to my pocket someday, just that wasn't the right product. And if you remember, one of the big innovations from Apple and Steve Jobs was getting all the music publishers on to the Apple platform, which is what ignited the massive growth in that arena.  The point that I'm making is simply this. I am highly confident that the experience is spectacular with XR devices I've seen. I am highly confident that the larger players that are operating in the ecosystem see what we see, and they're going to get it right. And if I were to give that same presentation around the gap of disappointment that I gave 5 years ago with no real endpoint in sight for when all this was going to come together, I'd say I can start to see that it's going to come together.  So thank you for all the early investors in XR to get it off the ground. You made the industry possible. I think now we're going to find that there's more opportunity in the years to come. I feel good about it. But it's still tomorrow for scale.
Richard Davis: Great. Thanks. So we'll finish up with a couple finance questions. So first, let's start for Kim. Tom Roderick at Stifel asked, can you provide some detail around which areas you're focusing your sales and marketing investments on between gaming and verticals? And more broadly, how should we think about operating leverage versus revenue growth?
Kimberly Jabal: Sure. So thanks for the question. We see huge opportunities in both gaming and in new verticals. And so we are definitely investing aggressively in both. Currently, the majority of our sales and marketing investments are still in gaming, particularly if you look across both create and operate. But we're actively growing our investment in other verticals, especially on the create side. As we did in gaming, we'll start with create and then expand to operate. John talked about some of the opportunities for other verticals within operate.  So we built out a multichannel go-to-market model that enables us to push the right products through the right channels to optimize sales and marketing effectiveness. We have a direct sales team in addition to inside sales. We have a lower cost sales development team. We have indirect reseller channels. We have strategic partnerships that enable demand gen. And we have our online stores. So we're moving quickly to grow both in gaming and verticals with this approach.  In terms of operating leverage, we're very focused on meeting our revenue goals and maintaining our gross margins so that we can both invest in future growth, revenue growth as well as increasing operating leverage.  And one thing I should point out that's important to understand is that if we exceed our revenue expectations, we will reinvest, in a disciplined way, the upside into revenue-driving initiatives rather than accelerating our path to profitability, which we hope to achieve on a free cash flow basis by the end of 2023.
Richard Davis: Great. Thanks. So I'll take the kind of last kind of tactical question. So Franco Granda at D.A. Davidson asked, so hey, you increased prices by about 20% on Pro/Plus tiers last January. What has been the reception of this pricing hike by users in the first year? How should we think about the percentage of accounts that now fall under the increased pricing plan in terms of upside for 2021?  So as you pointed out, yes, we raised prices just over a year ago, and the large majority of the price increases rolled through our numbers. And those factors are embedded in our guidance.  Now for context, just so you know, we got very little pushback from our customers on the price increase. And that's a good sign because it says that our developers see a lot of value in our technology. And more even, stepping back further, our view is that you earn your way to market leadership, and you do that by delivering better functionality at lower cost of ownership. So our goal right now is to focus on those factors rather than kind of getting some sort of short-term pop that we would get from raising prices.  So now we're going to open it up to open Q&A. Let me open up this. And I think we can do this, right? So the first person will be Yao Chew at Crédit Suisse. I think you -- yes, there you are. You can ask a question there.
Yao Chew: Congrats on a great close to the year. In particular, thanks for helping break out the COVID and IDFA impacts. My question is on that $30 million, either John or Kim. Really wanted to double-click here in 2 parts. Number one, is this $30 million number consistent, worse or better, with the way you were thinking about approaching the situation 90 days ago? A lot has changed. There's been a lot of new announcements from key players in this space. Just trying to understand the cadence and the approach to that.  And second question is, how are you thinking about the shape of the recovery and the impact on that? Is this a 1-year issue when most of it goes away by the end of the year? Or should this lag a little bit more into 2022 at this point?
Kimberly Jabal: John, do you want me to start, and you can jump in?
John Riccitiello: Sure.
Kimberly Jabal: Yes. So I don't think a lot has changed in terms of our thinking around the impact. We were planning potentially for some impact in Q4, and then it was delayed. But in general, I wouldn't say a lot has changed in the last 90 days. We have been working on this honestly for years. We've been preparing for this. We knew that this risk -- that this was a risk and that this moment could come. We've dealt with this with GDPR. So I wouldn't say that things have materially changed in the last 90 days.  As we mentioned earlier, we feel very confident in our ability to forecast our business. This does certainly introduce some uncertainty, but we feel confident that we're able to predict the impact to our business.  In terms of the shape of the curve, John, I'll maybe let you take that one. I would just say that there will be a short-term impact. Initially, as advertisers adjust to the changes, we feel that there will certainly be an impact in the year, and that's why we've articulated the $30 million. But we do believe, over time, there's a real opportunity for us to gain market share.
John Riccitiello: Yes. Just a little color. I would say -- obviously, we -- 2020 and 2021 have 2 unusual impact, right? IDFA is a pretty big deal, and COVID's a pretty big deal.  Deep analysis on COVID tells us that consumers -- it accelerated the future. People came into the present. We'll probably see some declines or at least slowing in growth on engagement. But I don't think we're going to be impacted by that much. And of course, 2021, we're likely to be home for another 6 months or so, which is not the way any of us wants it to be.  And we can validate that with China. So China gives us a really good early read. So we don't really see anything there that's particularly disruptive to us going forward. On IDFA, there's -- as important as this is, and it's certainly made a lot of crash, from our perspective, the -- it's 1 of 3 -- one way to think about it, 1 of 3 factors. One is overall growth in the industry around user acquisition-driven engagement and growth. I don't see that going anywhere. The game industry is very robust. It's growing. We feel confident in that.  Within that world, we're gaining market share and have been growing market share based on a better product and better service. And within that, there is a bit of a shift in the force with IDFA, and we've quantified for that. And as you can tell, it's not a major part of our revenue stream in terms of its impact. So we feel pretty confident that we're in the right place doing the right things.
Richard Davis: Tom Roderick at Stifel, you're up next.
Thomas Roderick: So congratulations, everybody. Great year, a lot to work through and fantastic finish. Kim, you noted, I think, the net dollar retention number was 138% for the year, and I was hoping you could kind of help us square that with some of the positive benefits you saw from COVID during the year. In other words, maybe give us sort of a level set for how that might play out in a normalized year. I know it's not a metric you necessarily guide to, but perhaps you could set the table for us without thinking about what some of the onetime benefits were this year in that number?
Kimberly Jabal: Yes, sure. So overall, NER has been a very strong metric for us. As you've seen, it's been well over 120% for the last 2 years. What we saw this year, if you look at the sequential trends, is in Q2 and Q3, we saw a pretty healthy jump in NER as the shelter in place orders drove that higher end user engagement that we talked about. And so within our Operate Solutions business, in particular, it really drove that metric in Q2 and Q3.  And then what you see is it coming down a bit in Q4. Some of that had to do with a tough compare over Q4 '19 in which we had a more typical seasonal lift. We benefited from a number of product and algorithm enhancements within Operate Solutions. So that's some of what's going on within that trend throughout the year.  And then to answer your question, thinking about next year, we do expect that metric to moderate, particularly given those tailwinds that we had in 2020 and the impact of IDFA in 2021. So moderation, we expect that metric to have some volatility, but we really believe it will be a very strong metric for us as we just continue to see the growth within all of our customers across both create and operate.
Richard Davis: Franco Granda at D.A. Davidson.
Franco Granda: I had two very quick ones, if I may. One for John and one for Kim. The first one for John, really. There's been a lot of questions about user engagement as we entered '21, right? There's two big trends that could potentially impact user engagement, particularly in the mobile side of things: one, obviously being COVID, which you talked about in detail; and then two, the launch of the new consoles.  So my question really is on the latter. Have you seen a slowdown in engagement across your platform as a result of the new console launches? Or are the supply issues acting as a small benefit today since a lot of people haven't gotten their hands on one?  And then really the second one for Kim. Can you break out what percentage of your total revenues are advertising revenues? And then perhaps if you do that, what are the margins associated with those?
John Riccitiello: So the answer to that somewhat lengthy first question is no. You might want some color on that. So just a starting point. When we do monthly engagement on -- it's mostly mobile because most of the world's players are mobile. And let me just give you some way to think about that.  In aggregate, adding all the consoles together in any given month, you might have 100 million players. Now they're obviously very engaged players, and they spend a lot of money. A lot of them spend $60 for titles, upcoming $70 per title. My video's off. And so those are very important customers.  But engagement is over 2.7 billion users, most of them mobile. So I would say that the console launches has relatively little effect.  What typically happens and is happening now is those that were able to get an Xbox and a PlayStation, the new generation of products in the end of last year, is they shifted themselves from prior consoles to the new consoles. There's definitely always a big kickup and engagement for those users that manage to get the new hardware. But if you look at the numbers in the scheme of things, we're talking about something that was already 3% and 4% of the total user base. And then of those, a tiny portion of them managed to get an upgrade to the new hardware.  What I expect to happen, and I think this is important, is that the market for console and PC has been losing market share at the hands of mobile for quite a while now in dramatic ways. And typically, around a new console launch, new hardware, there's a reinvigoration of console, and I fully expect that to happen. I'm looking forward to playing more of the console games on the new devices. But no, we haven't seen any sort of net reduction in engagement.
Kimberly Jabal: Yes. In terms of the advertising revenue, so we don't break out our revenue by product. We have a mix of product and services -- products and services within both create and operate. I can say that it is the largest piece of our Operate Solutions business, primarily because it was the first. We've been building that business for several years now. And some of the other products and services within operate are just relatively newer. So certainly -- so it is a larger portion of that business, but we're not breaking it out.  On the question around margins, that's also something we're not disclosing. We actually, as a company, don't really look at our margins by business line. We look at the total company margin. And then we do look at product-by-product margin profiles. And we're not breaking that out, but I can say that when we look across all of our products and services, two of the highest gross margin products are our subscription product and our monetization service.
John Riccitiello: I want to add one last nuance on the engagement point. People buying higher-end phones definitely correlates to increased engagement in mobile gaming. And most people install more applications around new hardware. You've all done it. You get a new phone, you install a bunch of new stuff.  The numbers on the new Samsung and the new Apple phones are numbers that are orders of magnitude bigger than console launches are in terms of user households. So don't forget that what we've just witnessed is not just in the world of console. It's also in the world of mobile.
Richard Davis: Brent Bracelin at Piper Sandler, used to be Piper Jaffray, but now Piper Sandler.
Brent Bracelin: Good seeing that team here. I had one question I wanted to kind of drill down into a little bit more. And it's really around the beyond gaming segment and the momentum you saw there. I mean, 6 months ago, this was, what, 8% of the create mix. It's now 13%. That puts it, by my math, on a year-over-year basis, close to triple-digit growth.  So accelerating growth in kind of beyond gaming, why now? Is this a Forma, Reflect product bump one quarter? Is this auto configurations just taking off? Walk me through what are the drivers of this, what looks like, sharp inflection point around momentum for 3D beyond gaming.
John Riccitiello: So let me start with some initiation points. So what typically happen in nongaming verticals is we start by saying hello and telling them what we do for a living. That often leads to curiosity in the technologist there that already knew how to use Unity. There's always a few of them around because they make games on weekends or whatever. They start messing around with the project. What happens after that is we engage in some level of professional services support because they can't quite figure out how to use it at scale to get them some sort of meaningful application underway. And then they start scaling seats.  Now this is what we talked about 2 years ago when we were private. That was our model. We take a while to develop. In a way, I was sort of warning about the gap of disappointment if you want to think about it that way. But otherwise, great idea, it just takes a while to get through the process.  Forma and Reflect are run-time applications, meaning you're not engaging this 747 control system, this giant airplane with 1 million buttons and levers in front of you. You're dealing with 4, 5, 6 buttons, and you can get the benefit of real-time 3D. And that leads to people buying more seats because you need the seat to get the apps and services behind it.  And I fully expect that we will have -- we only talk about true now. A big chunk of verticals come faster because of real-time applications that dramatically reduce complexity to getting up on the platform. And I think that's going to be our path forward for some time. And then sometimes, what we might work on a custom basis with a developer will turn into a real-time -- or run-time application that we can provide for developers. By way of example, Forma started with us initiating conversations with the auto manufacturing about helping them build car configurators and, of course, tractor configurators, boat configurators, plane configurators. God knows what you can configure, a pair of Levi's, these days. And the point is, is we realized it was the same thing over and over and over again.  So what's enabled it? Simplify it, take the speed bumps out of the way. And really, it's that insight that made me a lot more comfortable believing that we had long-term, very rapid growth in verticals outside of gaming.
Richard Davis: Last but not least, Mario Lu at Barclays.
Mario Lu: So I guess I'll ask the boring ones on guidance. So in terms of the 1Q guide, if we assume a sequential growth for the Create segment in 1Q, I believe that implies mid- to high single-digit growth sequentially for the Operate segment versus, historically, it was growing around 20%.  So if we're only assuming like a $2 million to $3 million hit from IDFA in 1Q, are there any other factors to kind of call out regarding this lower sequential growth versus historical?
John Riccitiello: I'll kind of give you a really high level and maybe Kim can come in with more. So high level, we saw an acceleration of our business on create after the COVID transition. And we're actually -- while we're not giving specific numbers, we expect create to grow faster than operate in 2021. So all in, and that's a function of the fact that we saw a slowdown in the middle of the year, and now we're seeing things like a really robust pipeline in verticals and in gaming for growth around the new products that we've been announcing.  Obviously, the road bump on IDFA is specifically to operate. So those are enough to tip the balance in favor of create where 2020 was an operate story.
Kimberly Jabal: I think that's it. I don't have anything to add.
Mario Lu: Okay. Great. So just one more on the full year guidance. So the operating income margin guide of -- at the midpoint is negative 10% versus this year, a negative 7%. I think, Kim, you mentioned that headcount is particularly stronger early in the year. Is it evenly distributed between sales and marketing, product development, G&A? How should we think about that? And what are your updated thoughts on long-term OI margins for the company?
Kimberly Jabal: Yes. So I think I may have mentioned earlier, we do have a profitability goal for 2023. We are going to keep moving on that path. Keep in mind that last year, we had all of those COVID savings that really drove our operating margins. And so this year, we thought very carefully around that balance between investing and continuing to drive profitability.  And to answer your question, we are investing as much and as fast as we can, first and foremost, always in R&D. You'll continue to see that. Then come sales and marketing. And we're continuing to work on driving leverage in G&A. As we scale, as we find efficiencies as a young company, we've been focused on growth, and we're shifting now to get more leverage out of our G&A line and continue to drive those investments in R&D and sales and marketing.  So in terms of the first quarter, yes, I mentioned that the headcount growth is coming really strong in the first quarter, and that will moderate throughout the year. But like I said, we're balancing -- and we are focusing on maintaining our gross margins so that we can both make these investments and continue to move towards profitability in 2023.
Richard Davis: Great. All right. Well, I've done it. 6:02 Eastern Time, so it was 8 minutes shorter than last time. So tried to help you guys out. So thank you very much for everyone, and we really appreciate all your great questions and insight and support. And so we'll talk to you soon and hopefully, again, during the quarter and the next quarter. Thank you so much.
Kimberly Jabal: Thank you.